Operator: Welcome to the Rambus Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Desmond Lynch, Chief Financial Officer. You may begin the conference.
Desmond Lynch: Thank you, operator, and welcome to the Rambus fourth quarter and full year 2024 results conference call. I'm Desmond Lynch, Chief Financial Officer at Rambus and on the call with me today is Luc Seraphin, our CEO. The press release for the results that we will be discussing today has been filed with the SEC on Form 8-K. We are webcasting this call along with the slides that we will reference during portions of today's call. A replay of this call can be accessed on our website beginning today at 5:00 pm Pacific Time. Our discussion today will contain forward-looking statements including our expectations regarding projected financial results, financial prospects, market growth, demand for our solutions and other market factors and the effects of ASC 606 and reported revenue amongst other items. These statements are subject to risks and uncertainties that may be discussed during this call and are more fully described in the documents we file with the SEC including our 8-Ks, 10-Qs and 10-Ks. These forward-looking statements may differ materially from our actual results and we are under no obligation to update these statements. In an effort to provide greater clarity in the financials, we are using both GAAP and non-GAAP financial presentations in both our press release and on this call. A reconciliation of these non-GAAP financials to the most directly comparable GAAP measures has been included in our press release, in our slide presentation, and on our website at rambus.com on the Investor Relations page under Financial Releases. In addition, we will continue to provide operational metrics such as licensing billings to give our investors better insight into our operational performance. The order of our call today will be as follows. Luc will start with an overview of the business, I will discuss our financial results and then we will end with Q&A. I'll now turn the call over to Luc to provide an overview of the quarter. Luc?
Luc Seraphin: Thank you, Des, and good afternoon, everyone. 2024 was a great year for the company. Thanks to our continued strategic execution, we gained market share in our core business and introduced a record number of new chip products to lay the foundation for even greater success in 2025 and beyond. We finished the year very strongly with Q4 revenue beating the high end of guidance. We delivered record quarterly results from memory interface chips, propelling us to an annual record for product revenue of $247 million. We completed the strategic extension of our patent licensing agreement with Micron through 2029, fortifying our long-term licensing foundation, and we achieved a new annual high for cash from operations, generating $231 million in 2024. Our excellent cash generation enables us to sustain our strong investment in new product development and technology leadership while consistently returning value to our stockholders. Before I go into more detail on our business results, let me first take a moment to talk about the important market and technology trends that our strategy addresses and some of our key accomplishments in 2024. AI and the ongoing evolution of the data center continue to be strong catalysts for long-term secular growth due to the increasing technical needs of data-intensive applications which demand unprecedented levels of hardware performance. To enable the robust, high-performance, and high-capacity memory subsystems critical to meeting these needs, a growing number of specialized chips are required for signal and power integrity at increasingly extreme data rates. Rambus has been a pioneer in this space for 35 years, recognized these trends very early on and addressed them through our unique combination of expertise and focused investment in our industry-leading roadmap. To capitalize on this market trend and amplify our market opportunity, we are strategically expanding our product portfolio, and in 2024, we introduced a record number of new products for the company. We furthered our Vanguard position with continued market share gains across multiple generations of our DDR5 RCD and were the first to market with our Gen 5 RCD for DDR5 8000, which we announced in October. We diversified our product portfolio into power management, a critical component in high-performance systems, with state-of-the-art DDR5 server PMIC that support the highest bandwidth and capacity use cases. We introduced the industry's first complete chipset for industry standard DDR5 MRDIMMs running at 12,800 megatransfers per second to enable the next wave of DDR5 systems which have sampled to customers and we are receiving very positive feedback. Beyond the data center, the cutting-edge technologies first leveraged in servers are cascading into the client market as performance demands continue to soar. With that, we leveraged our technology and expertise to enable state-of-the-art performance in notebooks and desktops with the introduction of our Client Clock driver chip and expect this space to continue to expand. And finally, in addition to these chip milestones, we introduced the industry's first GDDR7 and HBM4 memory controllers, a family of PCIe 7 digital IP and new security IP solutions with protections for post-quantum computing. These accomplishments continue to drive our ongoing industry leadership and will double our addressable market in the years to come. Turning now to the businesses. In Q4, memory interface chips delivered record revenue of $73 million, up 11% quarter-over-quarter and up 37% year-over-year, and we expect further growth in Q1. These great quarterly results contributed to the robust second half we projected, which was up 30% over the first half and provided a solid foundation of strength going into 2025. We are pleased to see increased sales of our core DDR5 RCD products driven by data center demand growth and continued share gains, as well as early contributions from new products. As I mentioned in my opening remarks, we introduced a record number of products with eight new chips in 2024 that are in varying stages of rollout and qualification with our customers. We are very excited by the positive customer feedback on these new products with early shipments on the way for both server and client applications. Turning to Silicon IP, AI continues to drive long-term momentum and fueled excellent results in Q4, and we remain on track with our long-term growth expectations. The push for tailed solutions in AI is creating tailwinds for our high-performance IP at Tier 1 custom silicon providers and startups alike. With that, we are seeing strong demand for industry-leading solutions like our HBM4 and GDDR7 memory controllers, along with our security IP, which are vital building blocks for cutting-edge AI accelerators, graphics, and HPC applications. Across all of our businesses, Rambus is strategically focused on advanced system memory bandwidth and capacity through groundbreaking memory, connectivity, and power management solutions. As a fundamental pillar of our growth strategy, we will continue leveraging our strong balance sheet to support our strategic investments in new products, further expanding our market opportunity and driving the long-term growth of the company. As we look ahead to 2025 and beyond, firmly stepping into the era of AI everywhere, AI models will continue to evolve and proliferate, pushing the boundaries of hardware design. And with that, the requirements for power, performance, and security will both intensify and broaden to new markets and use cases. In anticipation of these needs, we have established a strong market position, accelerated our product roadmap, and put the foundation in place for an exciting future by significantly increasing our addressable markets. In summary, we closed out 2024 in great fashion, gaining momentum throughout the year and beating guidance for revenue in Q4. Through our steadfast execution and investment, we delivered record annual product revenue and expanded our product portfolio and addressable markets. Our unwavering focus and leadership on signal and power integrity solutions have laid the foundation for growth and we are well positioned for 2025 and beyond. As always, I'd like to thank our customers, partners, and employees for their ongoing support. And with that, I'll turn the call over to Des to discuss the quarterly financial results. Des?
Desmond Lynch: Thank you, Luc. I'd like to begin with a summary of our financial results for the fourth quarter and for the full year 2024 on Slide 5. We delivered strong financial results in both the fourth quarter and full year 2024 as we continue to make progress on our long-term growth strategy. In 2024, we drove double-digit product revenue growth, leading to record profitability and record cash generation. For the year, our cash from operations was $231 million, up from $196 million in 2023. Our ability to consistently generate strong cash flows coupled with our robust balance sheet has enabled us to invest in our strategic growth initiatives and consistently return capital to our stockholders. In 2024 we repurchased $113 million of stocks, retiring approximately 2.2 million shares, continuing our strong track record of returning capital to stockholders. Let me now provide you a summary of our non-GAAP income statement on Slide 6. Revenue for the fourth quarter was $161.1 million, which was above the high end of our expectations. Royalty revenue was $58.2 million, while licensing billings were $63.6 million. The difference between licensing billings and royalty revenue mainly relates to timing as we do not always recognize revenue in the same quarter as we bill our customers. Product revenue was $73.4 million dollars, up 11% sequentially and up 37% year-over-year, driven by continued strength in DDR5 products. For the full year, we delivered $246.8 million in revenue, which was a new annual record for the company. Contract and other revenue was $29.5 million, consisting predominantly of Silicon IP. As a reminder, only a portion of our Silicon IP revenue is reflected in contract and other revenue and the remaining portion is reported in royalty revenue as well as in licensing billings. Total operating costs including costs of goods sold for the quarter were $89.2 million. Operating expenses of $60.1 million dollars increased from the prior quarter as we continued to invest in R&D to support our new product developments. And we ended the quarter with a total headcount of 712. Non-GAAP interest and other income for the fourth quarter was $4.4 million. Using an assumed flat tax rate of 22% for non-GAAP pre-tax income, non-GAAP net income for the quarter was $59.6 million. Now let me turn to the balance sheet details on Slide 7. We ended the quarter with cash, cash equivalents, and marketable securities totaling $481.8 million, up from Q3, primarily driven by strong cash from operations of $59 million. Fourth quarter capital expenditures were $10.1 million, while depreciation expense was $6.9 million. We delivered $48.8 million of free cash flow in the quarter. Let me now review our non-GAAP outlook for the first quarter on Slide 8. As a reminder, the forward-looking guidance reflects our current best estimates at this time and our actual results could differ materially from what I'm about to review. In addition to the non-GAAP financial outlook under ASC 606, we also provide information on licensing billings, which is an operational metric that reflects amounts invoiced to our licensing customers during the period adjusted for certain differences. We expect revenue in the first quarter to be between $156 million and $162 million. We expect royalty revenue to be between $56 million and $62 million and licensing billings between $59 million and $65 million. We expect Q1 non-GAAP total operating costs, which includes COGS, to be between $91 million and $87 million. We expect Q1 capital expenditures to be approximately $11 million. Non-GAAP operating results for the first quarter is expected to be between a profit of $65 million and $75 million. For non-GAAP interest and other income and expense, we expect $4 million of interest income. We expect the pro forma tax rate to be 20%, which is down from 22% in 2024, due to increased profitability of our product business versus fixed patents. We expect non-GAAP tax expenses to be between $13.8 million and $15.8 million in Q1. We expect Q1 share count to be 108 million diluted shares outstanding. Overall, we anticipate the Q1 non-GAAP earnings per share range between $0.51 and $0.59. Let me finish with a summary on Slide 9. In closing, I am pleased with our strong financial results for 2024 and continued execution. Our top-line growth driven by our chip products led to record profitability and cash generation. Across all of our businesses, we continue to execute against their strategic initiatives. Patent licensing continues to provide consistent and predictable results. In December 2024 we signed another long-term license agreement with Micron, which demonstrates the continued strength and relevance of our patent portfolio and innovation engine. Silicon IP revenue continues to grow in line with our long-term expectations. Our industry-leading Silicon IP portfolio is well positioned within the market fueled by the continued growth in AI solutions. In memory interface chip, we continue to gain market share as we delivered record annual product revenue. Our focused investment in new products continues to expand our market opportunities. Overall, we are entering 2025 in a strong market position and are excited about our long-term growth drivers. We continue to execute on our long-term strategic plans as we deliver value to our stockholders. Before I open up the call to Q&A, I would like to thank our employees for their continued teamwork and execution. With that, I'll turn the call back to our operator to begin Q&A. Could we have our first question?
Operator: [Operator Instructions] The first question is from the line of Aaron Rakers with Wells Fargo. Your line is now open.
Aaron Rakers: Yeah, thanks. Thanks for taking the question. I have one question and a follow up. So, I guess my first question is just maybe, Luc and Des, you could characterize what you're seeing from a demand perspective in the end market, particularly for server DRAM, DIMM solutions, any thoughts on current inventory levels for DDR5 solutions and just any kind of context of what you're seeing end demand-wise?
Luc Seraphin: Thanks, Aaron. We do see the market recovering somewhat in the second half of 2024. As we expected, the pent-up demand for traditional servers did happen. That explains the growth rates that we saw on our buffer chip business. This was the third consecutive quarter of growth in that business. We do see server demand continue to grow. The growth was probably mid-single-digit in 2024. We see that growth to continue in 2025 mid to upper single-digit there. But the need for more capacity and more bandwidth will continue to be a driver for demand. We continue to see DDR4 with very low demand, although the inventory levels continue to go down. This has been, from our standpoint, the seventh consecutive quarter, where we see the inventories going down on DDR5. So DDR5 demand is going to continue to be small, but the demand for DDR5 is strong and we expect to see, as we said in our opening remarks, further growth in Q1. So that's how we see the market.
Aaron Rakers: Yeah, very helpful. And then as a quick follow-up, when I look at your growth in your product revenue, the back half of this year you saw 32% year-on-year growth. If I look at the midpoint of the current quarter guidance, I think you guided $72 million to $78 million. That looks like we're pushing into the high 40%, 50% growth rate range. When you think about PMICs and the opportunity for companion chip expansion, is it fair to assume that that level of growth could be sustained through 2025? I'm just curious how we think about that growth as we get into the tougher comps into the back half of the year with the caveat of expanding into some of these other companion chip opportunities. Thank you.
Luc Seraphin: Thank you, Aaron. You're correct when we look at the midpoint for Q1. We see very nice growth quarter-over-quarter compared to Q1 over the past year. We do see the contribution from companion chip starting to kick-in in our results, but the bulk is still DDR5 RCD that is building our growth. We have -- we will continue to see some contribution of companion chips or new chips in the first quarter, the second quarter, but we will see an inflection point in the second half when the next platform from Intel is going to kick-in in the market. So, we're going to see a profile that is similar to the profile that you saw in 2024, some contributions from new chips that we saw in Q4, we'll continue to see in Q1, Q2, and then in the inflection point when we intersect the introduction of the next platform from Intel. But we're very pleased with these double-digit growth, three quarters in a row. We're also very pleased with the view of Q1 compared to the same quarter last year.
Operator: Thank you for your question. Next question is from the line of Blayne Curtis with Jefferies. Your line is now open.
Blayne Curtis: Hey, thanks for taking my question. I too, just curious just following up on the companion ships if you can just kind of, said it would ramp more in the second half. Any perspective as to what that level is today?
Luc Seraphin: The companion chips, we -- as we said in the initial remarks, we have introduced eight new chips this year, so there are different stages of qualification and pre-production with our customers. We do see some nice sampling orders, pre-production orders from these companion chips. We get some traction through ECOs and intra-generational adoption for these ships because as you remember, we came with a chip later to market compared to our competitors. So that builds our revenue for companion chips for Q4, Q1, Q2. As indicated earlier, there's going to be an inflection point with the next generation of the Intel platform with the revenue contribution from these companion chips.
Desmond Lynch: Hi, Blayne. Just to add on to sort of what Luc said, we've been pleased with the traction that we see on our new products. We did see sequential growth in the fourth quarter versus the third quarter, but this does sort of remain a sort of more single-digit contribution to our total product revenue. And as Luc mentioned, we're excited that we will see the new products continuing to ramp into the model as we move through 2025, but this will be more towards the second half of the year from there.
Blayne Curtis: Perfect. And then, just a question on modeling for this year. In terms of the Delta with ASC 606, I'm just kind of curious if that was supposed to go to zero. I'm just kind of curious as we look to zero, is that still the case?
Desmond Lynch: Hi, Blayne. Yeah, that's a good sort of question. We've been really pleased to see the convergence of our financials with the gap between licensing billings and royalty revenue really narrowing. If you take the second half of the year, we see about a $7 million difference between licensing, billings and royalty revenue. My expectation is that we will continue to see a small sort of quarterly difference. If you take our guidance for sort of Q1, this is around about a $3 million difference per quarter. All of the major contracts have been realigned. We do have some smaller sort of legacy sort of contracts that we are working and we do expect to continue to have that sort of small difference on a go-forward basis but really pleased to see the convergence of the financials taking place here.
Operator: Thank you for your question. Next question is from the line of Gary Mobley with Loop Capital. Your line is now open.
Gary Mobley: Hey guys, thanks for taking my question and congratulations on a strong finish to the year. I guess there was one of your competitors out there and speaking about one of their competitors, maybe you, having some issues with their power management IC, whether that be the one you're developing or sampling or qualifying, or perhaps with your partner, power management partner. So I was hoping to get your response. Are you seeing that, I guess, any qualification problems with your PMIC? And then related, I presume, that inflection or that acceleration in companion chip sales expected in the second half of the year, is that largely contingent on the PMIC shipping?
Luc Seraphin: Thanks, Gary. So we are aware of this information about an issue with power management chip in the market. The first thing I would say is that it's not about our power management chips to make it clear. So, we don't have issues with respect to the launch of our own power management chip. The second thing I would say is that this is not unusual. One of the reasons there's been a, I would say, chaotic ramp of DDR5 in the market over the last year or so is because of the difficulty of making all of these chips work together. So, I would say that every quarter we had -- we faced some sort of one chip or another not functioning the way it should function. So, no surprise there. It has very little impact on our expectations for revenue. Maybe we could have guided $1 million or $2 million more in the next quarter. But remember, there's a lot of combinations of power management chip and RCDs in the market on a very large number of modules. So the impact is small. And I'm sure that power management chip company is doing their best to fix the issue. But what it tells me is that having the power management capability in-house is critically important. You have speeds that are higher and higher, densities that are higher and higher, environments that are harsher and harsher. And making those chips work together is becoming very complex. And that's why we introduced our own power management chip because these types of challenges, technical challenges, are going to continue to be there and having the whole view and the whole command on the full system is really important. So again, we are aware of the issue, there's very little impact on us, but that confers us in our view that we need to control that technology going forward.
Gary Mobley: Okay. Thanks, Luc. And I do have a follow-up that's somewhat related, and I wanted to double-click on your claim of market share gains in 2024 for your memory interface chip business. Growth appears to be about 10% for your revenue in 2024 versus what, mid-single-digit percent growth in server units. I would presume some of that is an easier year-over-year comparison for you as you [are under-shipping] (ph) market when inventories are getting digested and various other factors. I guess maybe a more simplistic way looking at it is how do you think you perform relative to your competitors and how do you think your market share is going to shake out in 2025?
Luc Seraphin: Yeah, so we [indiscernible] the markets for, one of the proxies we use is the server market. We saw a market that was growing mid-single-digit on the server side. We knew we would have that profile where the second half would be stronger than the first half. As you said, we grew 10% in the markets that if you use that proxy, grew 5%, which would indicate that we've gained share. As Des explained, the contribution of companion chip remains modest in that. So, that's mainly coming from our DDR5 RCD chips. So, we believe that when we look at the whole of 2024, we're probably in the early 40% share in DDR5 in the market today. And we do see traction in DDR5 going into 2025.
Operator: Thank you for your question. Next question is from the line of Mehdi Hosseini with SIG. Your line is now open.
Mehdi Hosseini: Yes, thanks for taking my question. A couple of follow-ups. Just wanted to revisit the R&D. Obviously, [indiscernible] Q-over-Q and year-over-year increase, how should we think about revenue contribution? Is it mostly going to be 2026 and beyond, or is there any opportunity for incremental revenue given the recent uptick in R&D? And I have a follow-up.
Luc Seraphin: The uptick in R&D, and I’ll let Des comment, as we said in the earlier remarks, it's important for us to accelerate our roadmap. AI is bringing all of these opportunities for chips in power management and signal integrity. So we increased our investments to make sure that we stay on track with the market demand.
Desmond Lynch: Hi, Luc. Yeah, let me just add, I think we've done a very nice job in managing our expenses where we've really struck the right balance between being disciplined and investing at the right level to support our future growth opportunities. I was delighted with our R&D execution and new product rollout in 2024. As Luc mentioned, this was a record eight new products that we released. It is important to note that this was really achieved under the same sort of OpEx sort of envelope. And so what we're able to do is really reinvest the spend associated with the divested PHY business back into product programs. And I think, Mehdi, the right way to think about R&D sort of going forward would be around 23% to 25% of revenue, which is a similar range to what we've been operating at in the last three years here.
Mehdi Hosseini: Got it, thank you. And just actually as a follow-up to that, as we think about opportunities in HBM4 and GDDR7, is this going to be more like a ’26 -- are these IP revenue contingent on the end product being shipped into the market, or should we assume some revenue opportunity before the actual AI platform chip?
Luc Seraphin: Thank you, Mehdi. The GDDR7 or HBM4 offering in our Silicon IP business. So the business model we use is people buy licenses from us. So we do see the revenue as soon as the customers engage with us, we don't have to wait for their chips to go into production. So we are very pleased with staying ahead of the curve with those IT. We had very strong revenue contribution from HBM3 last year. And we started to see revenue contribution from HBM4 in Q4 as we took the lead with this type of IP. We had an exceptional good quarter in Q4 in our Silicon IP business and that's partially due to the adoption of our HBM4 IP in the market. This business can be lumpy. It was lumpy in the right direction in Q4. There was a lot of demand for HBM4 which explains the results for that quarter. But again, revenue happens when a customer adopts the technology, not necessarily when the products run to market.
Mehdi Hosseini: Great, thanks for the details.
Operator: Thank you for your question. Next question is from the line of Kevin Cassidy with Rosenblatt Securities. Your line is now open.
Kevin Cassidy: Yes, thanks for taking my question. Couple thoughts here on the licensing of HBM and I see you're moving on to HBM4. Can you talk about the breadth of the number of customers that you're licensing to? Has there been a change in that as you move to next generations?
Luc Seraphin: No, we typically don't disclose the number of customers or name of customers, but I would say that when we introduce -- we have a portfolio of IP, but when we introduce IP such as HBM4, GDDR7, we typically talk to customers who are also on the leading edge of those technologies. It's on average a smaller number of more advanced customers than it would be for earlier generation of products. That's the way to look at it. The engagements are very deep with those customers. They're very technical. So we have multiple customers. But I wouldn't say that we have as many customers as we would have with an earlier technology, if that answers your question.
Kevin Cassidy: I see. Yeah, that's helpful. And maybe on the CPU side, clearly you're on a good track with the next generation platforms of CPUs for x86. But there's also been quite a few ASICs and other CPUs coming out that are ARM based. Can you talk about that market for your modules?
Luc Seraphin: Yes, we kind of agnostic to the core of these CPUs. We do see traction with x86 based cores, but we also do see traction on CPUs based on ARM. The buffer chip business is really dependent on the memory interface. And whether you have an ARM-based processor or a x86-based processor, you typically use standard DIMMs that have a standard interface. So we’re kind of agnostic to this. We’re agnostic to the relative share between AMD and Intel, but we’re also agnostic with the share between x86 and ARM processor-based solutions.
Operator: Thank you for your question. Next question is from the line of Tristan Gerra with Baird. Your line is now open.
Tristan Gerra: Hi, good afternoon. I know you've already partially answered the question. I just wanted to go back on the product revenue growth for this year. If we look on a year-over-year basis, it sounds like DDR5 mix is going to be the primary contributor year-over-year of revenue growth. But then I think consensus is embedding an acceleration in product revenue quarter-over-quarter in the second half. So I just wanted to get some level of comfort about what drives that acceleration because clearly the DDR5 comms are going to slow down or positive comms are going to slow down. So, is the driver in the second half really about the higher channel count per CPU on the Intel platform? Is that a key driver or is it more the ongoing wrap of companion chips? If you could perhaps give us some additional color about the key drivers for product revenue in the second half. I know you're not guiding for the whole year, but ultimately what type of growth does that give us perhaps versus prior years in product revenue?
Desmond Lynch: Hi, Tristan, it's Des. And as you correctly say, we only guide one quarter at a time. But let me offer some comments on what we're sort of seeing on the sort of product side. We've been really delighted with our performance in 2024 where we delivered both quarterly and annual records from there. But looking ahead to sort of 2025, we're really entering ‘25 with strong momentum, following the record quarterly revenue in Q4. As Luc sort of mentioned, we do expect the server market to continue to grow. Luc talked about upper sort of single-digit sort of growth, so we'll continue to see that favorability going into 2025. And really looking at the sort of second half of the year, we will see the next generation platforms really contributing to sort of ramping the sort of second half of the year in addition to our product -- new product revenue contributions from the companion chips that we expect to ramp in the second half of the year. So we're really excited about the future opportunities ahead of us going into ‘25.
Luc Seraphin: The other thing, Tristan, thanks for the question. The other thing, Tristan, is that when the platform, the new platform gets to market, to your point, there's going to be a higher number of channels. So, by definition, it's going to be a driver for more sales. But also, I would say that when this platform gets into the market in the second half, our footprint for companion chip is much higher than the current platform. So that's the inflection point that I was mentioning earlier. So there's a combination of more channels being available in the new platform, but also the footprint for these new chips that we're introducing being better in this new generation of product that runs in the second half than in the current generation that drives our current sales of companion chips.
Tristan Gerra: Okay, that's a great color, very useful. And then as my second question, how do we balance -- and you've already commented about being agnostic between x86 and ARM. I think the exception will be in AI, where Grace today doesn't have any type of architecture or module, memory in module. So, how do we balance out the ramp of Grace and GB200 and subsequent Grace-based architectures from NVIDIA? And I know it's a small subset of total data center units. How do we balance that versus the increase in the DIMM module count in AI systems? Is that [a cool] (ph) offset or is AI primarily going to be on the licensing side?
Luc Seraphin: It's kind of separated. I would say that we are monitoring what's happening with Grace as wells a Blackwell. They actually build with LPDDR a sort of module that they call a super chip. And as you said, it has a small market niche target for that. And it actually addresses different types of use cases than a standard AI box would address. So we are monitoring that, but we don't think that it's impacting the demand for standard modules at this point in time. We continue to see in the AI boxes, these two layers of computing, the GPU HBM class parallel computing layer, and then the standard servers that are there to prepare the data, groom the data, store the data for these number crunching HBM GPU layers. So we're monitoring that. It's a small market. It has different use cases. But we don't think it's impacting the demand.
Tristan Gerra: Great. Thanks again.
Operator: Thank you for your question. Next question is from the line of Aaron Rakers with Wells Fargo. Your line is now open.
Aaron Rakers: Thanks for the follow up guys. I'll stick to two here again. So as we start to think about the companion chip ramp, let's say we go from low single-digit contribution to 10% or 15%, whatever that might be, how do we think about that in the context of the product gross margin as we think about the back half of the year? It looks like this quarter was plus or minus around 61%, 61.5%. How does that play out as companion chips ramp to a bigger contribution?
Desmond Lynch: Hi, Aaron. It's Des here. Thanks for your question. What I would say is that we've issued a sort of long-term target on the gross margin side, which is 60% to 65%. We won't break out the individual gross margin targets of the individual products, but what I would say is with the inclusion of the revenue contribution from the companion chips and new products, we do expect to maintain our sort of gross margin target at 60% to 65%.
Aaron Rakers: Perfect. Perfect. That's what I thought. Okay. And then as a quick follow up, there was no question asked, so I have to ask you this. Is there any kind of updated views on the role of MRDIMM as we look out? Or is it just more, hey, let's see where this goes, and it's still more of a 2026 story with 4x content expansion opportunity?
Luc Seraphin: No, we're still very excited with the opportunity with MRDIMM, so there's no change there. What you see, especially with AI servers, is that even though you do add channels and even though you can think about more dense modules, there’s still need for more memory and more speed on each one of them. So the demand for MRDIMM, the excitement for MRDIMM is still here, but it will intercept the follow-on generation of product from Intel Diamond Rapids which should ramp in the second half of 2026. So, from a timing standpoint, things have not changed. From an interest standpoint, interest is still very, very high.
Aaron Rakers: Perfect. Thank you.
Operator: Thank you for your question. There are currently no further questions registered. [Operator Instructions] At this time, there are no further questions. This concludes the question-and-answer section. I would now like to turn the conference back over to the company for any closing remarks.
Luc Seraphin: Thank you to everyone who has joined us today for your continued interest and time. We look forward to speaking with you again soon. Have a very good day.
Operator: Thank you. This now concludes today's conference.